Operator: The contents of today's call are protected by copyright and may not be reproduced without the prior written consent of Pason Systems Inc. Certain information about the company that is discussed on today's call may constitute forward-looking information. Additional information about Pason Systems, including the risk factors relevant to the company can be found in its annual information form. Good morning. My name is Andrew, and I will be your conference operator today. At this time, I would like to welcome everyone to the Pason Systems Inc.'s Third Quarter 2025 Earnings Call. [Operator Instructions] Celine Boston, CFO. You may begin your conference.
Celine Boston: Thanks, Andrew. Good morning, everyone, and thank you for attending Pason's 2025 Third Quarter Conference Call. I'm joined on today's call by Jon Faber, our President and CEO. I'll start today's call with an overview of our financial performance in the third quarter. Jon will then provide a brief perspective on the outlook for the industry and for Pason, and we'll then take questions. Pason's results in the third quarter of 2025 continues to demonstrate the resilience in our business model through very challenging industry conditions. Pason generated consolidated revenue of $101 million and adjusted EBITDA of $38.5 million or 38.1% of revenue in the third quarter of 2025. In our North American drilling segment, Canadian drilling activity increased through the third quarter as is seasonally expected after spring breakup. However, at a more moderate pace than the increases seen in the third quarter of 2024, resulting in a 15% decline in Canadian industry drilling activity year-over-year. U.S. drilling activity fell slightly through the third quarter, resulting in a 9% decline in overall North American industry drilling activity in Q3 2025 versus the prior year comparative period. Despite this decline, revenue in the segment only decreased by 7% year-over-year. In this challenging environment, Pason grew revenue per industry day by 1% to a new quarterly record level of $1,071 as the company continues to make progress with growing product adoption across its technology offering. Within the North American drilling segment, Pason generates a higher revenue per industry day with Canadian activity as compared to U.S. activity. In the third quarter of 2025, Canadian activity represented a lower percentage of total when compared to Q3 of 2024, and this muted the growth seen in consolidated revenue per industry day year-over-year. The segment's operating expenses remained mostly fixed in nature and fell by 6% year-over-year as the company focuses on disciplined cost management in the context of more challenging industry conditions and has seen lower levels of repair expenses, which can fluctuate with revenue levels. Resulting segment gross profit of $42.2 million was consistent as a percentage of revenue at 61% when compared to Q3 of 2024 despite the more challenging industry conditions. Continuing from earlier this year, our International Drilling segment faced headwinds in the third quarter with a larger customer in Argentina reducing activity levels through a pending shift in operational focus away from conventional wealth towards more unconventional drilling. The segment generated $12.5 million in quarterly revenue and $5.2 million in segment gross profit in the third quarter. Operating expenses for the segment are mostly fixed and came down by 11% year-over-year as the segment remains focused on disciplined cost management during a period of lower activity levels. Even more pronounced in our drilling segments, industry conditions for completions were very challenging through the third quarter of 2025 with several of IWS' existing customers beginning to slow their number of active frac spreads. In the third quarter of 2025, IWS had 30 active jobs, up from 28 in the prior year comparative period despite a 27% decline in active frac fleets in the U.S. Revenue per IWS Day also grew year-over-year by 11%. Revenue per IWS Day will fluctuate depending on the mix of technology adopted amongst new and existing customers going forward. Reported revenue for the segment was $14.6 million, up from $12.5 million in the third quarter of 2024 which represents a 17% increase against industry activity that fell by 27% during that time. Gross loss of $1.2 million for the segment represents operating expense investments made for the segment's current stage of growth, along with $7.6 million in depreciation and amortization expense associated with the property and equipment and intangible assets acquired on and since January 1, 2024. Our solar and energy storage segment generated $5.1 million in quarterly revenue, an increase of 30% from the 2024 comparative period with the timing on deliveries of control system sales driving the difference year-over-year. As we've noted in previous calls, the segment's revenue will continue to fluctuate with timing of these deliveries going forward. Sequentially, Pason's results were mostly impacted by the seasonal increase in Canadian drilling activity partially offset by further reductions in U.S. drilling and completions, resulting in a 5% increase in revenue quarter-over-quarter. Demonstrating the company's mostly fixed cost base and resulting operating leverage, revenue grew by $4.5 million quarter-over-quarter and adjusted EBITDA grew by $7 million at that time. Net income attributable to Pason for the third quarter of 2025 was $12.5 million or $0.16 per share, down from $24.2 million and $0.30 per share in the third quarter of 2024 reflecting lower levels of industry activity year-over-year and higher levels of depreciation and stock-based compensation expense. We continue to maintain a prudent balance sheet ending the quarter with total cash, including short-term investments of $75.6 million and no interest-bearing debt. In the third quarter of 2025, net capital expenditures were $10.7 million, which includes investments in building out our valve management and automation technology offering within Completions and the ongoing investments in our drilling-related technology platform. Free cash flow in the third quarter of 2025 was $18.7 million compared to $16.7 million in the third quarter of 2024 reflecting lower levels of capital expenditures and working capital investments year-over-year. With this free cash flow, we returned $13.1 million to shareholders, $10.1 million through our quarterly dividend and $3 million through our share repurchase program. Year-to-date, we've returned $49.6 million to shareholders through our quarterly dividend totaling $30.6 million and $19 million in share repurchases. In summary, we remain very well positioned in the face of challenging industry conditions. I will now turn the call over to Jon for his comments on our outlook.
Jon Faber: Thank you, Celine. Our third quarter financial and operating results again demonstrated the continued strength of Pason's competitive position even in challenging industry conditions. Revenue from our North American Drilling segment decreased by 7% year-over-year despite a 9% decrease in North American land drilling activity over the same period. International drilling saw an 18% decline in revenue resulting from an operational shift of a large customer in Argentina away from conventional assets. Our Completions segment grew revenue 17% year-over-year from the third quarter of 2024 despite a 27% decrease in industry activity. Solar and Energy Storage segment revenue increased 30% year-over-year in the quarter on the strength of increased control system project deliveries. Adjusted EBITDA margins compressed slightly from 2024 levels as a result of the reduction in consolidated revenue and a higher contribution of revenue from the Completions and Solar and Energy storage segments where segment margins are lower given their current stage of development. We expect margins in these segments to expand over time as revenues increase. The third quarter of 2025 marked more than 20 consecutive quarters across a wide range of industry conditions in which the change in Pason's consolidated revenue outpaced the change in North American land rig counts. This track record speaks to the progress that we have made in reducing the correlation between our financial performance and underlying industry activity. The compound effect of outperformance over time has been significant. In the 6-year time period between the third quarter of 2019 and the third quarter of 2025, Pason's consolidated revenue has increased by 40% while North American land rig counts have decreased by 32%, representing a spread of more than 70%. Over that same 6-year time period, we have reduced our share count by 8.5%, completed the acquisition of Intelligent Wellhead Systems with no dilution to shareholders and paid over $200 million in dividends to shareholders through free cash flow generated within the business. When we completed the acquisition of the remainder of Intelligent Wellhead Systems at the start of 2024, we believe we have the opportunity to double Pason's revenue from 2023 levels. We continue to believe this opportunity exists over the next 5 to 7 years, even if industry activity remains near current levels. To do so, we are focused on executing against a number of priorities. We will build on our competitive position in the North American land drilling market. Our focus is on delivering on innovative products, best-in-class service and exceptional customer support in order to earn the ongoing trust and confidence of our customers. We also look to offer expanded features and enhanced functionality in our existing products and to develop new products that provide additional benefits for customers. We are expanding our presence in the Completions market with our valve management and automation technologies, and we are working to develop compelling data management products for completions that leverage Pason's decades of experience in the drilling industry. We look to grow our international revenue, particularly as unconventional drilling becomes a focus in international markets, we anticipate opportunities to achieve greater adoption of our more advanced technologies, including those for the completions market. The path to our medium- to longer-term growth aspirations is unlikely to be linear. In the near term, we expect ongoing economic uncertainty and concerns about the potential for oversupplied oil markets to result in the challenging industry conditions. Increasing adoption of existing products and rolling out new products are both significantly more difficult in the current environment. The near-term trajectory of our completions revenue is more closely tied to the activity levels of particular customers rather than the overall market. Newer products and services will likely benefit over time from revenue acceleration that comes from a growing market presence and awareness. We see several supportive industry trends that should provide tailwinds to our efforts over the medium to longer term. Pason stands to benefit from the growing proliferation of artificial intelligence. Our position as the leading provider of drilling data and our efforts to expand our data management capabilities to the completions market serve us well as AI technologies drive increased demand for data as inputs to the models being deployed. The anticipated growth in demand for natural gas as a source of baseload power for data centers is expected to result in increases in natural gas-directed drilling activity. Artificial intelligence tools also play a role in our product development efforts and in improving the efficiency of our own business operations. Technology has played an essential role in driving efficiency improvements in Drilling and Completions operations and we expect customers to look for further efficiency gains, driving greater demand for data and technology. Pason also benefits from the additional data and technology requirements associated with the increasing complexity of Drilling and Completions operations. Over time, we anticipate overall decline rates for global oil and gas production to increase, driving higher levels of drilling and completions activity as a result of more natural gas-directed drilling, more offshore development and more unconventional drilling, which have higher decline rates than oil-directed onshore and conventional drilling. Our capital allocation priorities are unchanged, and they are driven by a focus on return on invested capital. We are making investments in areas where we can generate high returns on capital, which are not directly available to shareholders in the market and we are returning excess capital to shareholders in a disciplined, flexible manner. Our highest returns on capital continue to come from the organic investments we are making to continue the growth of our Completions business coupled with the ongoing rollout of the Mud Analyzer in our drilling-related business. With the slowdown of industry activity, we anticipate our 2025 capital program will total between $55 million and $60 million, and we expect a similar level of capital investment in 2026. We evaluate our capital program with a focus on increasing revenue, generating free cash flow and creating value for shareholders over time rather than simply in response to prevailing near-term industry conditions. We will continue to pursue shareholder returns over time through our regular quarterly dividend, which we are maintaining at $0.13 per share and share repurchases. This combination of shareholder returns provide disciplined returns to shareholders over time while retaining flexibility to adjust our capital allocation during times of changes in industry conditions. Our balance sheet remains strong. At September 30, we had $75.6 million in total cash, including short-term investments and positive working capital of $111.9 million. At this point, we would be happy to take any questions that you might have.
Operator: [Operator Instructions] Your first question is from Keith Mackey from RBC Capital Markets.
Keith MacKey: Just the first question on the capital spend for this year and next year, kind of maintaining around that $55 million to $60 million level. Can you just talk about maybe I know it's Mud Analyzer and Completions weighted for anything beyond general maintenance. But can you talk about the mix of spending this year and next year? Will it be the exact same types of products that you're building? Or will it move on to a different stage of what you're actually spending the capital on related to those 2 products? Just curious for some more color on the growth CapEx for next year.
Celine Boston: Yes. So I would say, similar level as you think about 2026 in comparison to 2025. We talked about in previous calls, we would have said roughly $25 million of the CapEx that we saw for 2025 goes towards growth-related investments in completions and expectations of growth into 2026 and beyond. And I would say that's a similar level that you can expect in terms of split in 2026. . And then on the drilling side, which would be the balance of that $55 million to $60 million, the majority of that CapEx actually would relate to the refresh investments that we're making on our existing hardware platform as we continue to look towards opportunities to grow product adoption and improve price realization on our existing technology base there.
Keith MacKey: Okay. Got it. And can you just maybe talk a little bit more about the completion data management projects? How are you inserting yourself, I guess, in the product development life cycle, what kind of things are customers asking you for or looking to do as they use more of these IWS products?
Jon Faber: Keith, I'll speak at a pretty high level at this point because we're still sort of in the early days of getting that sort of built out. But I think what is clear to us is that there are at least some parameters from the drilling process which could be helpful for somebody who's involved in the Completions process to understand perhaps what the rock properties might look like, which might help them think about how a fracture might propagate and so being able to make some of that information available during the completions process would be an example of an area where we think we're uniquely positioned having access to both the Drilling and Completions data sets.
Keith MacKey: Okay. Got it. And maybe just one final one, if I could. Jon, can you talk about a little bit more about the growth drivers that you see in the target to or potential to double revenue from 2023 levels in 5 to 7 years? If industry activity stays roughly where it is now, what are sort of the general buckets of improvement that you'd see to be able to double that revenue?
Jon Faber: Yes, sure. So I guess I kind of break it into a few things. There's obviously within the core drilling business, we've got an established track record over 15 to 20 years of growing revenue per industry day in the order of 6% to 7% compounded over time. And when we look at simply kind of inflationary effects of pricing over time, increased adoption of data-driven technologies related to people doing more with our automation and intelligence. And when we look at the rollout products like a Mud Analyzer, we're pretty confident that we can continue that sort of a track record in the drilling-related business. In the Completions side, we see, of course, opportunities just for all players in the industry to grow by as a result of people using more technology of the type we're offering in the Completions market. So we think there's sort of a broad-based technology adoption story that all participants would benefit from. And then as I would have referenced earlier, we think we may have some unique opportunities in that space related to the fact that we have access to both the Drilling and Completions data, and making those kind of available to customers in a uniform way. There's some ancillary services that happen around Drilling and Completions that probably would also stand to benefit from some data management capabilities which stand-alone have maybe been not attractive to people independently the drilling market or the completions market by participating in both markets, those sorts of opportunities we would think we would benefit from. And then in the international business, as I mentioned, we moved to more unconventionals, that tends to drive higher-value products from our product offering, things that are impacting drilling performance more directly. And so we think there's opportunities to grow on the international side as well. So at a high level, those are sort of the areas where we see growth. And as we said, it's probably a 5 to 7 years sort of a time frame, and it requires execution and hard work and focus on the things that we can be most impactful with.
Operator: Your next question is from Aaron MacNeil from TD Cowen.
Aaron MacNeil: I want to sort of build on Keith's last question. Obviously nice to see those longer-term ambitions. How do you suggest we sort of evaluate the success or failure of these initiatives in real time? And what sort of milestones would you point us to over the next couple of years?
Jon Faber: Yes. Unfortunately, Aaron, these are very intentionally medium to longer-term priorities that we're talking about because they're nonlinear. It's a little bit easier to establish very near-term measurable things for you to evaluate against when you're talking about doing things you're already doing in a market that's already adopting this type of technology. And so because we're talking about, in a lot of cases, new things that are ramping into the industry, some of it, if you're honest, in the short term is much more around capability development, streamlining the product offerings to be able to scale in a more profitable manner. And those things are a little bit less directly visible. So we will certainly provide commentary on an ongoing basis around things we're doing in each of those sort of broad areas to ensure that we're moving them all forward. But it's not obviously that you're going to have very specific line items in our financials to point to in the next 12, 18, 24 months as interim measures when we're building towards where we need to be in 5 to 7 years as an outcome.
Aaron MacNeil: It could be operational milestones as well, though, like if you're developing a new product or et cetera, like is there anything maybe not in the financials, but something more than qualitative that you could point to?
Jon Faber: Well, I think we will provide comments on an ongoing basis about the types of things that we are working on to establish the ability to hit those objectives.
Aaron MacNeil: Yes. Fair enough. Sorry to needle you. But maybe one more question on IWS. Presumably, you'll have some capacity expansions next year. How do you think of line of sight in terms of having homes for that incremental equipment today?
Jon Faber: Well, when we look at the equipment, like a lot of what we're talking about on that capital build and Celine talks about CapEx, a lot of that's based on conversations with customers around what they expect to do going into 2026 type of a world. So I think as you can see from lots of folks in the completions market, the expectation in the fourth quarter, probably always is that it's lower than the third quarter. You hear things in Completions around white space, budget exhaustion and terms maybe those of us from the drilling world don't hear quite as often. But certainly hear lots of talk about what people plan to do early into 2026. And so we are certainly building with visibility towards where we think that equipment would go to work.
Operator: Your next question is from Sean Mitchell from Daniel Energy Partners.
Sean Mitchell: Just wanted to hit on the Completion side, maybe a little follow-up or color around, as you see the E&P consolidation and maybe a structural shift in completion design and strategies going from zipper to simul-fracs. How has that evolution really influencing your completions business in terms of utilization cycle times, customer engagement, maybe more sophisticated or a different kind of technology demand. Can you provide any color on that, that would be great.
Jon Faber: Yes, you bet. In completions as with drilling, increased complexity, certainly increases the value proposition of the types of products that we're bringing to market. So when you're talking about ensuring that you can manage a more complex operation efficiently and very importantly, safely the types of technologies that we're deploying to those space become -- I don't say exponential that probably is overstating it, but it's significantly more important as you start adding more valves to the equation. And so that certainly is a driver of increased demand for the product and the value proposition resonates increasingly on a safety and efficiency perspective when you start to talk about more complex types of fracs happening. The other side of the question you asked around more consolidation. One of the things that we see is certainly a desire from customers to do things consistently across their operations and ensuring they're deploying standard operating procedures. And so a number of the technologies we offer to that market are really around ensuring consistent workflows and standard operating procedures are being followed as well. And so as you get larger, more sophisticated companies looking to do more complex operations, they are driving more standardization and how they do things, and that would also be a net benefit to things we do on the completion side.
Sean Mitchell: Got it. And then maybe one more. Just as you think to expand internationally, where do you see the best opportunity set on the international front?
Jon Faber: Well, certainly, Argentina is an opportunity in terms of it being one of our larger markets today. And so they're looking to do. We've talked a lot about part of the reason the revenue in the international decline is because of a shift to unconventionals. And so that shift to unconventionals starts to drive a lot more of a product offering from the drilling side, but also earlier enthusiasm for things around the Completion side. And then the Middle East, there's quite a bit of talk around unconventionals as well. There's opportunities for us there as well. So I'd point to those 2 specifically, not to say exclusively, but I think those two come top of mind if you think about kind of opportunities in the near term.
Operator: [Operator Instructions] There are no further questions at this time. Mr. Faber, please proceed with closing remarks.
Jon Faber: Thank you, Andrew, and thanks to those who joined us for this morning's call. As always, we appreciate your interest. We appreciate the questions and your support. If you do have other questions, you certainly are welcome to connect with Celine or myself at any point. And otherwise, we wish you a very good day and weekend.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and ask that you please disconnect your lines.